Executives: Brent Heimann - President of PCS Phosphate and PCS Nitrogen Wayne Brownlee - Chief Financial Officer, Principal Accounting Officer, Executive Vice President and Treasurer Denita Stann - Vice President of Investor & Public Relations Garth Moore - President of PCS Potash William Doyle - Chief Executive Officer, President, Non-Independent Director, Chief Executive Officer of Potash Corporation and President of Potash Corporation Stephen Dowdle - President of PCS Sales
Analysts: Horst Hueniken - Stifel, Nicolaus & Co., Inc. Michael Piken - Cleveland Research Charles Neivert - Dahlman Rose & Company, LLC Mark Gulley - Soleil Securities Group, Inc. Ben Isaacson - Scotia Capital Inc. Vincent Andrews - Morgan Stanley Elaine Yip - Crédit Suisse AG Donald Carson - Susquehanna Financial Group, LLLP Jacob Bout - CIBC World Markets Inc. Jeffrey Zekauskas - JP Morgan Chase & Co Mark Connelly - Credit Agricole Securities (USA) Inc. Lindsay Mann - Goldman Sachs Group Inc. David Silver - BofA Merrill Lynch Charles Rentschler - Boenning and Scattergood, Inc. Edlain Rodriguez - Gleacher & Company, Inc. Unknown Analyst -  P.J. Juvekar - Citigroup Inc
Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Potash Corp. First Quarter Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded on Thursday, April 28 at 1:00 p.m. Eastern Time. I will now turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita Stann: Thank you, Brock. Good afternoon. Thank you for joining us, and welcome to our first quarter earnings call. In the room with us today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Garth Moore, President of PCS Potash; Brent Heimann, President of PCS Phosphate and PCS Nitrogen; and Stephen Dowdle, President of PCS Sales. I'd like to welcome the media who are listening in and remind people that we are live on our website. This morning, we also posted an investor presentation on our website, and during Bill's remarks, we will be highlighting some information from this presentation. I would also like to remind everyone that today's call may include forward-looking statements. Such forward-looking statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of such statements, and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also today’s news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures.  I'll now turn the call over to Bill Doyle for some comments, and then we'll go to questions.
William Doyle: All right. Thank you, Denita, and good afternoon, everyone. Thank you for joining our discussion of Potash Corp.'s first quarter performance. We appreciate this opportunity to share our views on the conditions that underpinned our record results and the drivers that have us preparing for the next stage of growth. With rising global food demand and inventories for a number of crops under increasing pressure, prices for agricultural commodities continued to strengthen in the quarter. This further enhanced our already attractive crop returns, giving farmers in all major growing regions of the world the motivation to focus on soil fertility to maximize crop yield potential. The demand resurgence that began in the second half of 2010 escalated as fertilizer buyers in both domestic and offshore markets moved to secure much-needed potash phosphate and nitrogen supplies for their farmer customers. As a result, sales volumes and prices rose for all three nutrients during the quarter, leading to the highest first quarter earnings in our history. Potash, our core nutrient, generated nearly 70% of our record first quarter gross margin of $1.1 billion. Our potash sales volumes of 2.8 million tonnes represented the second-highest total for any quarter in our history, a clear indication of the renewed global demand for this nutrient.  Canpotex, the offshore marketing company for Saskatchewan potash, sold record volumes during the quarter. Almost 3/4 of its sales were to spot markets in Latin America and Asian countries outside of China and India, a reflection of the importance of these large and growing markets to our business. We sold 1.1 million tonnes to North American customers, our second-highest first quarter total. With demand strengthening and supply tightening, prices in North America and offshore markets rose. As pleased as we are with the continued improvement in market conditions during the quarter, we see it as a precursor to even greater opportunities as we move forward. Today, as farmers in the northern hemisphere head into a new planting season, there's significant pressure on the world supply of a wide range of crops. At an estimated 18.9%, the global grains stocks-to-use ratio is once again approaching record low levels. This is sparking a need for increased production and improved fertilization practices. The United States Department of Agriculture recently forecast that by the end of the 2010/2011 crop year, U.S. corn supplies will be down to 18 days of use and soybeans to 15 days. These are record lows and less than half of the historical average supply for these crops. In China, the government has recently taken the step of limiting industrial corn usage in an attempt to avoid depletion of already low inventories. Still, the state grain trading agency, COBCOE, said last week that it expects to face a corn supply shortage this decade. This is being driven primarily by a growing need for animal feed as over the next 10 years, China's pork demand is forecast to rise 26% to 29%, and milk demand is expected to double. More importantly, concerns related to food supplies are not an isolated issue to one country or one region. Now it is a global issue, and there are no quick fixes. Stocks have been under pressure for more than a decade as we have consumed more than we have produced. And with demand continuing to rise, it will take more than one large harvest to relieve this pressure. This is true not only of grains and oilseeds as cotton, sugar, palm oil, coffee and other key global crops are also facing tight supplies, creating real competition for acres. This is a very different environment then the one we saw in the summer of 2008 when the strength of crop prices was less widespread and partially driven by government export restrictions and record oil prices.  When the global economic downturn struck, the commodities market, like many other asset sectors, tumbled. In the aftermath of the downturn, the world has witnessed that the underlying drivers of food demand have not abated. The world's food producers need to keep the pedal to the metal to protect the world's food supply, and higher prices are needed to encourage them to do so. While we believe crop prices will remain elevated for the foreseeable future, this does not mean we need $7 corn and $14 soybeans on a sustained basis to keep farmers motivated.  In fact, as illustrated on Slide 5 of our presentation, farmers who were historically accustomed to $2 or $3 corn can generate very healthy returns on their investment even when prices are, for example, at $4 a bushel. We expect to see farmers working to capitalize on the economic opportunity that exist today and in the years ahead. In the second quarter, we anticipate strong demand for all three nutrients as growers around the world work to address soil fertility in an effort to maximize crop production. Cool, wet conditions in North America have resulted in a late start to spring planting, but modern equipment can facilitate efficient and rapid seeding progress when weather improves, so farmers here still have sufficient time to complete seeding. Given the current crop economics, we believe that North American farmers will have added incentive to seed and fertilize every possible acre this spring.  After traveling in Brazil last month, I can tell you there is tremendous excitement about agriculture in that country. Farmers there are moving quickly to capture the benefits of current conditions, driving strong demand for our products. Potash demand in Latin America is expected to reach approximately 10 million tonnes this year, including record Brazilian imports of around 7 million tonnes. The market at times fixates on developments in only China and India, but what it often overlooks is the growth and importance of markets in other Asian countries, which currently account for over 40% of Canpotex total potash sales.  Countries like Indonesia and Malaysia are purchasing aggressively to take advantage of highly supportive prices for crops such as palm oil and sugar cane, which are heavy potash users. As I mentioned earlier, China's food demand is growing, and there is significant pressure to increase food production levels. New potash contracts will be required to ensure China's supply needs can be met in the second half of 2011. We expect negotiations will get underway in May or early June. Despite comments from officials in India about reducing imports in the hope that potash prices will pull back, inventory levels in India remain low and the agronomic need for potash in that country is well known. In fact, few countries have more nutrient deficient soils than India. We believe that buyers and farmers will apply pressure to ensure supply is available for the upcoming planting season. At the same time, other countries are not waiting for India and are staking their claim to limited supply. And as a result, Canpotex is now largely committed through the second quarter. With significant recovery in demand that has taken place, we believe most global potash producers are operating at or near their capacity in an effort to keep pace with demand. North American potash production in the first quarter approached record levels, yet producer inventories fell more than 10% during the quarter, and are currently 26% below the five-year average. These tight supply/demand fundamentals are supporting higher global prices for potash.  In February, Canpotex has announced separate increases totaling $80 per tonne to spot markets in Asia and Latin America. As these increases take hold, the earnings potential from our Potash business will continue to unfold. Our long-term potash expansion program, which we initiated in 2003, will give us additional tonnes at a time when the world most needs new production. We have wrapped up construction on five projects, including Phase I of a two-part expansion at our Cory facility. Work is well underway on our remaining projects. And by the end of 2012, we expect construction at New Brunswick and Allan, and the majority of our total capital spending will be complete. By 2014, we will be finished construction on our project at Rocanville, and we'll have ramped up production on all expansion projects by 2015. As our company and our contractors have worked through these projects, we have gained new insights into the time and capital requirements of new capacity. We have very experienced people. We believe they're the best in the Potash business working on our projects. They can tell you that there are no shortcuts to bringing new productive capacity online. In the race to meet global demand, Potash Corp. has a big head start, as many other producers are just in the planning or early phases of their expansion programs. By 2015, we anticipate our operational capability will be 17.1 million tonnes, an increase of more than 50% from our current level. Our increased capability will be a key differentiator during a time of very strong agricultural markets. As we look ahead to the remainder of this year, we expect second quarter net income to be in the range of $0.70 to $0.90 per share and full year earnings to be in the range of $3 to $3.40 per share. The growing demand for our products and the availability of our new operational capability give us tremendous earnings potential in the months and years ahead. Our goal is to maximize long-term value for our shareholders, and we never let a record quarter or the pursuit of short-term gains influence the way we think. Our track record in this area is very well known and so are the results. Potash Corp.'s total shareholder return over the past 10 years is approximately 1,800%. Over that same timeframe, the return from the Dow Jones industrial average was 47%. As excited as we are about current conditions, we continue to make decisions and build a company that captures the greatest possible value for an asset base that can extend for generations and reward all of our stakeholders and those who depend on us.  Thank you for your interest in Potash Corp. I'm joined today by our entire senior management team, and we will be happy to answer any questions that you might have.
Operator: [Operator Instructions] The first question today comes from Mark Connelly of CLSA.
Mark Connelly - Credit Agricole Securities (USA) Inc.: Bill, just keeping it to one. You say in your release that you ran near full capability, but with these new capacity increments coming up and sounding like they're coming up pretty much online, if the second half is stronger than you've been suggesting it might be, do you have the ability to flex to meet additional demand?
William Doyle: We do, Mark. We have capability of $11.3 million this year. Our estimate as of the current time is $9.6 million to $10 million. So we have another $1.3 million if the $10 million high-water mark that we're forecasting is reached, we'd still have another $1.3 million this year and then of course, considerably more in 2012. So we think we're going to be able to meet any demand additions that might be out there.
Operator: The next question comes from Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley: Just looking at that second slide on Page 4 of the presentation where you break out the world potash demand by geography. Bill, we're, I guess, all the way through April here in the year and you've got 55 to 60 million tonnes there, what level of conviction do you have that we're going to get to the 60 number? And maybe if you could just talk to some of those geographies in specific and tell us what you think needs to get done there or what the drivers are to get closer to the 60 number than the 55. That would be helpful.
William Doyle: All right. Vincent, we think that number is a good one, the 55 to 60. And actually I think that you're going to see a stress here on the ability of the industry to be able to supply the demand outs. I wouldn't be surprised actually to see a short situation before the end of the year. There's just so much pressure on the global food supply really across the total geography that we service. I mean, just every country is under severe pressure. And different than the last time or times before where you've seen high prices for one or two commodities that would inspire growers to plant additional acres of say, corn or beans. Now those ag commodity prices are strong across the board. So you're not seeing a whole lot of diversion of acres. And so every country has their specialties. I mean, if you look at the U.S., of course, the biggest, still the biggest market for us, corn, wheat, soybeans, which you go to Brazil and you look a smorgasbord of capabilities that they have in agriculture. Obviously, soybeans we think 72 million tonnes of soybeans produced this year. But if you look at coffee, citrus, sugar, Brazil just unbelievable developments there. So we're going to see these pressures, and so if you start looking at markets where we think that you're going to -- I mean, if you rate them in terms of shipments, North America is right up at the top in terms of imports. China would be the largest market in the world. China we think is going to be close to 7 million tonnes of imports this year. Brazil, again, 7 million tonnes of imports this year, which would be a record. India, we don't know exactly. They're somewhere in the 6.3 to 6.5 million tonnes of India, which would represent their total Potash business because they have no indigenous production. But then you start looking at -- we cover other Asia but if you think about Indonesia, you're up 2.25 million tonnes. Malaysia, you're 1.75 million tonnes. Vietnam, you're looking at 700,000 tonnes. Thailand, 480,000, 500,000 tonnes. Korea, Japan, up in the 550,000, 600,000 tonnes. All of these -- and what I was saying is we tend to get fixated on India and China, but these other markets are huge markets and growing markets. And if you think Thailand, #1 rice exporter in the world; Vietnam second largest rice exporter in the world. These people have tremendous need for potash to be able to grow those crops. So I think you're going to be stretched here to supply this. It wouldn't surprise me to see that number in the 58m close. If you get any inventory replenishment, you could be also closer to 60 and I think that really stresses global capability to supply.
Operator: The next question comes from Ben Isaacson of Scotia Capital.
Ben Isaacson - Scotia Capital Inc.: Just one question. One of your competitors has recently been talking about widening the spread between granular and standard potash and maybe you could talk about that spread, how you see it developing as prices rise. Maybe touch on where it was in peak 2008 and also what is your incremental cost to produce granular product?
William Doyle: Well, I wouldn't go in the incremental cost. We don't get into talking about our costs too much, Ben. I hope you can appreciate that. But in terms of looking at the price differential between standard and granular, there's a reason why there should be a price differential. It's shrunk over the years. If you go back 15, 20 years ago, you had $20 to $30 price differential between standard and granular. I mean, if you look at the at the cost of compactors, if you look at energy costs, it's just a tremendous difference between that and producing a ton of standards. You just really need to see a wider differential, and plus the pressure on granular markets is so much greater today because the demand is there. So I think you will see an expanding differential between standard and granular.
Operator: The next question comes from Jeff Zekauskas of JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: Bill, can you compare the supply/demand balances in potash with phosphate over the next two years?
William Doyle: Well, we think that potash is going to be very, very tight; very challenged to keep pace with demand. I don't think there's any question about that. On the phosphate side, some of these expansions, Ma'aden is the big one that everybody talks about. They’ve had delays. Stephen Dowdle is here, but I think you're going to be looking, Steve, in what, a 2012, 2013 somewhere in that time frame?
Stephen Dowdle: Yes. That's when we expect to see Ma'aden products. Probably the first product would come into the market during the fourth quarter, and then slowly ramp up. We are expecting to see this year is about a 6% growth in demand for dry phosphates up to about 61 million tonnes. And the prices of phosphates have reflected this robust demand growth this year, and we expect the strong commodity economics to support continued demand growth next year as well.
William Doyle: Jeff, if you look at the raw material costs, rock, sulfur, ammonia, all of these costs are going up. That's going to put more pressure on phosphate producers. If you're nonintegrated, if you don't have your own rock, good luck. I mean, I just think I don't know how you could hope to compete if you were depending on importing rock. I think those people are going to be under enormous pressure, and so you start looking at the percentage of the market that those people represent. I wouldn't be surprised to see some of those go by the wayside because their future is not so bright.
Operator: The next question is from Jacob Bout of CIBC.
Jacob Bout - CIBC World Markets Inc.: When you think about potash pricing versus demand, at what potash price do you expect to see a demand destruction and particularly when you think about places like India and China? Is this price tied to grain prices or is it relative to nutrient prices? How do you think about that?
William Doyle: Jacob, we're so far away from demand destruction when you think about pricing. You start thinking about the return, and fertilizer as a percentage of revenue from crops sold today is about as good a deal as you could possibly get. I mean, if you just take corn, for example, at $7 corn, fertilizer represents just a little over 12% of the cost. So that is just a very low level. If you go back and look at where we were historically with $3 or less, you're talking then about 30% fertilizer cost as a percentage of revenue. $4 corn, 22%. So with these higher prices for -- that's just one example but I mean the return on investment for fertilizer, for potash specifically is very, very real. And I don't think there's anyone thinking about demand destruction at the price levels we are today. And I'm a big believer that over the long term, that the price of potash has to have something to do with the cost of making it. And so you start thinking about the capital cost involved and I said earlier in my formal remarks that no one's done more of this than we have, and so we are really up to date on what these costs are. And I'm going to be very happy that we have our construction done by 2014 because the people that are looking at this 2015 to 2020 and beyond are going to get a rude awakening about costs. And what you're seeing now is a lot of pressure. I mean, just out here in Western Canada, we've got oil sands coming back, a lot of labor pressure building again, and you better have some pretty good contingency costs built into your remodel because you're going to be looking at some extraordinary costs of building these projects. But if you just take the last forecast of what it would take to produce a 2 million tonne project, to build a 2 million tonne project that came from AMEC, which is the leading engineering company looking at these things today, they're talking $4.1 billion within the plant gate. And then you add about $1.5 billion for infrastructure, talking terminals, rail, water, gas, town, the whole deal. You're talking $5.5 billion. So if you're looking at return on investment in a tax jurisdiction like Saskatchewan, which has the best potash in the world and you take a 10% return on that $5.5 billion number, you need a price FOB mine of $700. And we're at $366 average for this quarter. So you're about halfway home. And then if you're like us and you think that 10% too skinny and because you've got an eight-year window and you've got capital sitting out there for all of those years, you better have a 15% return because you don't know what your total cost exposure is going to be for some of the reasons, labor and others, that I talked about. Inflation, I think we're going to have a little of that over the next 10 years. Then you're looking at what I think is a much more reasonable number of 15% return on $5.5 billion. You've got $1,000 FOB mine. So $366 doesn't cut it, and that's why you're not seeing any greenfield in the world today because you don't have the economic justification to build it. And you don't do this on a hope. It's like the people that are camping out in front of Westminster Abbey today and thinking they've got a wedding invitation to the wedding tomorrow. Those hopes don't work so well. So I just think you really have to look at this realistically.
Operator: The next question comes from Michael Piken of Cleveland Research.
Michael Piken - Cleveland Research: I just wanted to delve a little bit deeper in terms of where we are in terms of getting some of these recent price increases through. You guys had taken a price increase from $515 up to $560 in the U.S. I'm just wondering when -- if you sold any product at that level. And then I guess how quickly we might move up that ladder and sort of similarly in Brazil. BPC announced a price increase to $520 per metric tonne delivered. And it sounded in the press release like you matched it. But I just wanted to see kind of how quickly some of those price realizations might start to flow through.
William Doyle: Michael, I'm going to ask Stephen Dowdle to respond to that.
Stephen Dowdle: Yes, Michael. In the domestic market, the price increase that we announced we will begin to realize that fully during June at the conclusion of the spring planting. We have sold some product at the new price. We will begin to see a full-scale adoption of the new price June going forward. As far as the Brazil price increase, we have sold at the new price of $520 in Brazil in May and those -- the price will be effective for at least May and June shipments.
Operator: The next question comes from David Silver of Bank of America Merrill Lynch.
David Silver - BofA Merrill Lynch: Bill, I may have missed this, but could you give us an update on the negotiations with India and their recent resistance to kind of a timely settlement? And then along the lines of negotiations, I was wondering if Garth or somebody there could maybe just talk about the timing and the situation with labor negotiations I guess with the unions at the three mines that had the walkout thee years ago.
William Doyle: All right, David, I'll respond to the Indian part, and then I'll let Garth talk about the labor negotiations.
Garth Moore: David, the union contracts, the new contract union agreements expired with the three locals at Cory, Allan and Patience Lake on April 30. We have been entered into negotiations. We've been meeting with them for a couple of weeks now. We're still in non-monetary items, and negotiations are going as expected at this point in time. And we will know in the next few weeks as to -- once we get into monetary agreements, whether we come to an equitable settlement or not.
William Doyle: David, as regards in India, there've been a number of statements by certain politicians within India that you've all read, and what I'd say is that these statements are just part of the negotiating process. It's important to remember that India has one of the worst N to K ratios of any major agricultural country in the world, and it has no indigenous potash production capability. You have to increase potash applications in India. The ratio of N to K is about 6:1 and if you think in the U.S. it’s 2:1. Most countries would tell you that they need to get to 3:1 so 6:1, you're just really going to have low yields with that type of ratio. So you have to put down more potash to improve yields within India, and it's going to be a very important issue if the country is going to avoid serious food inflation and the political problems, which would result from that outcome. And if you look at just where we are today, the Indian government supported subsidy prices at almost $100 a tonne below the market price. I know that certain Indian government officials do not believe that the market should apply to them. That's kind of like denying gravity. I mean, it's just a -- the market works and unfortunately, we have seen once again, certain people refer to cartelization of the potash industry and of course, this accusation is just ridiculous, not true and really not helpful in the negotiation process. We only hear these charges when the market is increasing. When the market declined in 2009, in 2010 there were no such charges. So you just have to take that with a little bit of, certainly a grain of salt. But the bottom line is we're partners with our Indian customers, and the important task of ensuring enough food is produced. We work very hard to try to be a reliable supplier for them. And I’d just say as, I said earlier, the price of potash over the long term simply has to reflect the cost. And if we don't do that, we're going to have more volatility and that certainly won't please our Indian customers, and that's certainly not anything that we want. So I'm very confident we'll have a new contract with our Indian friends. And whether that's done at the EFA meeting in Montréal here at the end of May or in June, it will be done, and I can tell you from our side, there's absolutely no pressure on us whatsoever. We're largely sold out for the second quarter, and we've got some shutdowns coming up in the third quarter. We've got some tie-ins. We're going to tie in the new head frame at Allan, and that's going to take us out a little bit in terms of production. So as I said before, you don't want to deny markets and supply/demand really does work, and so we just have to get on with it. And it's really the only country in the world that we see any more -- China's, that’s gone by the wayside. We don't have any emotional apart to the negotiating process. I think we'll all be well served when that goes by the wayside with India as well.
Operator: The next question comes from Lindsay Drucker Mann of Goldman Sachs.
Lindsay Mann - Goldman Sachs Group Inc.: I was hoping to dig a bit deeper into the offshore realized pricing in the quarter because it seems like with so much of your product in the quarter sold on spot markets and with some of the momentum we've seen, we're hoping for a bit better realized pricing. So maybe just talk about some of the dynamics specific to that and how we should think about the potential for sequential improvement on a realized basis as we get into second quarter.
William Doyle: I'll ask Stephen to comment on that, Lindsay.
Stephen Dowdle: Lindsay, in the offshore markets, to date, the prices, the realizations were really impacted by annual contracts China and India specifically in that they stood out from the spot markets. Going forward now, six-month contracts, one of the main advantages to a six-month contract is that they -- prices negotiated under six-month contracts can be more reflective of market conditions taking the emotions out of the negotiations and allowing market dynamics to come to be the main factor coming to resolution. So we do expect now going forward, that these strong market dynamics that we see will be reflected in the contracts, in the six-month contracts with China and India. That will certainly help the offshore realizations, and we expect the spot markets to continue the upward trend that we've been seeing as the very, very supportive commodity markets are driving these prices.
Operator: The next question comes from P.J. Juvekar of Citi.
P.J. Juvekar - Citigroup Inc: Just a quick question on the near term. Bill, are you concerned that the wet weather across the corn belt and the rest of the country, could that reduce spring application in North America? And was enough fertilizing done in fall that it won't impact any yields and what does it mean for inventories?
William Doyle: Okay, P.J., what I'd say is last year, we have planted very early, and the crop wasn't as good as people had thought it was going to be because you had tremendous humidity, hot nights during the growing season, which diminished the crop. Every year is different. I would say that most springs in the last 37 years that I've been focused on this business have been more like this one. Last year was an anomaly. They can plant awful fast. We're seeing -- it looks like we're going to get a little window opened up next week. But if you think that corn planting can be done about 5% a day, so if you think you get one good week, you plant 35% of the corn crop in the United States, they can move awfully quickly, and they got this tremendous equipment and capability to plant. So we think that there, as I said in my formal remarks, that they will plant every acre and fertilize it too because they don't want to miss the yield potential. We did have a good fall last year and open fogs, we had an early harvest so there were people that put product down last fall. We had spreading on frozen ground there a little bit during the winter time, but there's still a lot of work to do. So I think it's way too early to pull the panic plug on the spring season. We think we're still going to have a good spring season. Inventories, really no inventory build whatsoever. And I would say globally, it's just the product is going to the ground, and we haven't seen inventory replenishment yet.
Operator: The next question comes from Horst Hueniken of Stifel, Nicolaus.
Horst Hueniken - Stifel, Nicolaus & Co., Inc.: Bill, I read that India has raised its benchmark price for potash this morning from $390 per metric tonne to $420. Are you surprised by this move and would you interpret this as a sign of India softening its negotiating stance?
William Doyle: I wasn't surprised about it because we'd already heard about it. They need to move. They know they need to move. They're moving in the right direction. They're not there yet, but I also saw some comments from our good customer Mr. Wasti [ph] at EFBO [ph] yesterday, which is the largest customer, great phosphate and potash customer of ours. And he talked about a price of $450, and that's positive movement in the right direction. And we leave it up to Canpotex to negotiate the price. But it's common, and we all know that these comments that are made, and as I said earlier, I hope this is the last time that we have to go through this, and we're going to see our friends at the EFA meeting in May, and I'm going to suggest that hopefully next time we can keep everybody's blood pressure a little lower on the Indian side because it really is not helpful. But we're going to get there. And I'm very confident India is going to be a major customer. The problem is that they waited so long that the tonnage is there from I think once they do conclude, I think they're going to be surprised to see that it's going to take a while to get the tonnage to them. So it didn't surprise me to answer your question.
Operator: The next question is from Elaine Yip of Credit Suisse.
Elaine Yip - Crédit Suisse AG: In the Nitrogen business, your volumes looked pretty good in the quarter despite some of the natural gas issues that we've been hearing about in Trinidad. Can you comment on whether or not that has impacted your business?
William Doyle: I'm going to ask, Elaine -- I'm going to ask Brent Heimann to talk about Trinidad gas situation. Brent?
Brent Heimann: Elaine, during the first quarter, we had some curtailments in Trinidad that impacted us by about 22,000 metric tonnes of ammonia. And there was a offshore platform that was under maintenance and a second one that had unplanned maintenance. Both those platforms have been put back in service. Additionally, there's some new gas coming on in Trinidad. So we think those problems will be behind us in May going forward.
Operator: The next question comes from Charles Neivert of Dahlman Rose.
Charles Neivert - Dahlman Rose & Company, LLC: Just a quick question on the Mosaic situation. Has there been any resolution? Or is it moving closer? Do you have any idea when the timing of the change in, I guess, ownership of the tonnage will take place or is that -- any resolution there?
William Doyle: Charlie, there's no resolution. It is before the courts, and I just leave it that way.
Operator: The next question comes from Don Carson of Susquehanna Financial Group.
Donald Carson - Susquehanna Financial Group, LLLP: Bill, question on provincial resource tax. Obviously, you're getting a nice benefit from your tax shield on your expansionary capital expenditures and only paying what, $12 a tonne? If you weren't getting that tax shield, what would that number be? And I understand you got an election coming up in Saskatchewan. The NDP's been making some noises about the PRT. Any prospect for either an increase in the level of the PRT or in perhaps raising the cap on which the profit's component of that tax is applied?
William Doyle: All right, Don, I'm going to ask Wayne to respond to that.
Wayne Brownlee: Don, if we did not have the capital spending deduction against the margin, that tax rate would probably be closer 12% to 15% of the potash gross margin. So it makes a significant difference on a one-time basis. The government of Saskatchewan, the current government, which is the Saskatchewan party has reiterated on a number of occasions that they fully support the existing tax regime. There is an election in November, and so I wouldn't expect there would be anything that would come out of any tax changes through that period of time. And generally, I would say that from a distant third-party perspective, it would appear at this stage, unlikely that, that party in power would not repeat itself for a four-year cycle. Obviously, you can never be sure about what would happen but they are doing fairly strongly in the polls and they see the full benefit of the capital spending that we're doing in Saskatchewan. In terms of the job creation, we're doing $6.5 billion in Saskatchewan alone. The other two players are -- probably would get that total up to $10 billion to $12 billion, which is actually generating significant benefits for the province. In fact, if you take a look at the increased personal income tax and the increased sales tax that the government of Saskatchewan is getting right now, it actually makes up more than the one-time deduction on the PPT. So the government on a holistic total revenue perspective basis is actually much better off enjoying these expansions and getting higher total tax revenue as a result. So it's something to watch, but I don't think it's something that we have – that’s a huge risk at this stage.
William Doyle: Don, the only addition I'd make is that this tax system allowed the Province of Saskatchewan to totally escape the great recession. I think that's a pretty positive tax policy to have in place, and the benefits have been great for this province and continue to be so.
Operator: The next question comes from Edlain Rodriguez of Gleacher & Company.
Edlain Rodriguez - Gleacher & Company, Inc.: Bill, quick question. On your guidance update, you didn't say anything about the equity earnings in the tax rate. Do we assume they stay as they were before or any changes there? And also, in terms of the natural gas cost in Trinidad, should we expect them to keep going higher as the benchmark of ammonia prices keep going up?
William Doyle: We're going to split that question, Edlain. Wayne will take care of the first part of it. In terms of Trinidad, it's an indexed gas cost. So the higher the selling price for ammonia, the higher our gas costs are in Trinidad. But believe me, that's a good deal for us. That's a good deal for our shareholders, and we make more money with higher ammonia prices. There's no doubt about that. So I wouldn't see that as a negative. And the real plus is, of course, if it ever goes the other way, you've got some protection. Wayne, you want to take care of the...
Wayne Brownlee: Yes. I think our guidance on other income remains as it was in coming out of the results from last -- in January. So we're forecasting other income between $300 million and $350 million for the year, maybe have a bias for a little bit higher than what we might have said in January given that potash prices have probably come up a little bit stronger than we originally anticipated, which would benefit our equity interest. The overall income tax rate is still forecast to be somewhere between 25% and 27%, which is still consistent with guidance that we put out in January.
Operator: The next question comes from Charles Rentschler of Boenning and Scattergood.
Charles Rentschler - Boenning and Scattergood, Inc.: Bill, sorry to be fixated on China but it's hard not to be. You’ve predicted that China needs to import a lot more corn and/or a lot more potash, and I wondered what's your latest appraisal on what's going to happen there including purchasing tactics or strategies.
William Doyle: All right. Charlie, what I'd say is that the answer to your question, are they going to import corn or potash, the answer is both. This year, our guess is somewhere in the 2.5 -- I'm talking the year that ends September 30 somewhere in the 2.5 to 3 million tonne range of corn imports. They're currently at about 1.3. In terms of potash we're on six-month contracts. They're going to need more potash here in the second half. They're returning to pre-downturn consumption levels. And as I said, there's a lot of pressure on food production there. If you think about corn, you've got some people within the government saying that they're going to be a 15 to 20 million tonne corn importer for the end of this decade, which would be a hell of a move up. But in order to not be any worse than that, they're going to need to get their potash applications up on corn land. And across the board, they need -- they're not as bad as India on N to K ratio, but they're certainly got a long way to go. Stephen, you're more an expert in China than anybody at the table. Do you have any comments there?
Stephen Dowdle: Well, what we've seen in the first half, we've seen a demand for fertilizers in general to be quite robust, and this supports our concept that during the second half, we do expect to see significant volumes probably similar to what was contracted during the first half to support China's agriculture during the second half.
Operator: The next question comes from Mark Gulley of Soleil Securities.
Mark Gulley - Soleil Securities Group, Inc.: Bill, thanks for the update with respect to replacement cost of economics on new potash capacity in Saskatchewan. You focused, of course, on traditional shaft mining. I've assumed you've also looked at solution mining as an alternative to what you're doing now. Can you update us on whether or not that does, with cheap natural gas costs, does that change the capital versus operating cost mix to perhaps advantage of more solution mining in the province?
William Doyle: All right, Mark. I'm going to ask Garth to respond to you.
Garth Moore: Mark, as you know, nobody's started the solution mining in Saskatchewan or anywhere in the world in decades. And really, the only successful solution mining is at Belle Plaine at Mosaic's operation. We think that the capital costs are still about $1 billion less than the -- in the cost and operate -- of an underground operation of similar size in Saskatchewan. We're not sure what the operating costs are. They would be slightly lower now because it is quite energy intensive because of natural gas. And natural gas pricing in the U.S. is down considerably. But in Saskatchewan, it's still relatively high in comparison to the U.S. So it's not a really huge advantage yet. We're still uncertain as to whether there will be a solution mine in Saskatchewan or an underground mine but either one of them still need a big increase in the net back to the mine gate and we're just watching.
William Doyle: And, Mark, what I'd say is most people don't -- when they listen to people wax eloquent about solution mining, first of all, I think it's interesting that no producer that's actually in the business is waxing eloquent about solution mining. But the other thing that you don't hear about solution mining is the biggest cost of the potash project within the plant gate is the mill. You've got to have a mill to make potash, and you're building a mill nowadays for at least $2 billion. So you hear some of these numbers of what people, most of them are -- some of the -- Garth has a very friendly name for them. I would call them people that are just speculators? Would that be the word?
Denita Stann: Speculators.
William Doyle: Speculators. They make it sound like they can do this for nothing and it doesn't take any time, and the point that Garth made also is that you're betting on gas costs. And we see shale in -- big impact on nitrogen in the U.S. But 10 years down the road as demand for gas because we don't want nuclear and we don't want coal and we don't want any other -- wind isn't doing what they said it was going to do. And some of the other solar, not producing much. And so we got everybody on gas to produce energy, and everything else that we need. What's that going to do to the price of gas? So you really have an unknown there in terms of your operating cost. That can be a little scary for me.
Operator: The next question comes from Fai Lee[ph], an independent analyst.
Unknown Analyst - : Bill, as mentioned the February product price increase for North America will take place effectively during the seasonally softer summer sale period. Based on your comments, it seems logical to expect additional pricing increase announcements for the fall that would make the February pricing look relatively attractive. Do you agree and assuming you do, when should we expect these price increases to be announced?
William Doyle: Fai [ph], what I'd say is you're going have price pressure both offshore and domestically. The bigger pressure will be in the offshore markets over the next six to nine months. But you're going to see price pressure in both, and all that's because you're going to have very, very tight supply demand in potash. As I said, we're going to be challenged to keep up with the demand out there. So I can't tell you by month or by week. But you can expect price increases in both, but you're going to have more of a focus on the international market first.
Denita Stann: We'd like to thank everyone for joining us this afternoon. If you do have any questions, please don't hesitate to call us at the office. Thank you, and have a great day.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.